Operator: Welcome to the Washington Real Estate Investment Trust Second Quarter 2018 Earnings Conference call. As a reminder, today's call is being recorded. Before I turn the call over to company's President and Chief Executive Officer, Paul McDermott; Tejal Engman, Vice President of Investor Relations, will provide introductory information. Mr. Engman, please go ahead.
Tejal Engman: Thank you, and good morning, everyone. Please note that our conference call today will contain financial measures such as FFO, core FFO, NOI, core FAD, and adjusted EBITDA that are non-GAAP measures as defined in Reg G. Please refer to our most recent financial supplements and to our earnings press release, both available on the investor page of our website, and to our periodic reports furnished or filed with the SEC for definitions and further information regarding our use of these non-GAAP financial measures and a reconciliation of them to our GAAP results. Please also note that some statements during the call are forward-looking statements within the Private Securities Litigation Reform Act. Forward-looking statements in the earnings release, along with our remarks, are made as of today, and we undertake no duty to update them as actual events unfold. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results to differ materially. We refer to certain of these risks in our SEC filings. Please refer to Pages 9 through 25 of our Form 10-K for our complete risk factor disclosure. Participating in today's call with me will be Paul McDermott, President and Chief Executive Officer; Steve Riffee, Executive Vice President and Chief Financial Officer; Tom Bakke, Executive Vice President and Chief Operating Officer; and Drew Hammond, Vice President, Chief Accounting Officer and Treasurer. Now I'd like to turn the call over to Paul.
Paul McDermott: Thank you, Tejal, and good morning, everyone. Thanks for joining us on our second quarter 2018 earnings conference call. In the interest of using this time as productively as possible, we'd like to change it up a bit today. My opening remarks will focus on key trends within the DC real estate market that are informing our leasing strategy and capital allocation decisions. Steve will then highlight the main elements of our second quarter performance and provide greater color on our updated 2018 guidance assumptions. The key takeaway from this call is that while regional real estate demand is improving and is expected to further accelerate, a landlord's ability to maximize the potential upside will depend on the relevance of its real estate strategy. Today, we'd like to leave you with a solid understanding of ours. Starting with office. The national trend towards flexible space is gaining even greater significance in the DC Metro region, where a large portion of the tenant's base is made up of federal budget dependent government contractors. Some of these contractors have been awarded new contracts or spending increases on existing contracts following the passage of the fiscal year 2018 Omnibus Spending Bill at the end of March. Similarly, the national trend of tenants demanding a wide range of competitive amenities to attract and retain the best talent has greater importance in the DC Metro region where the May unemployment rate of 3.2% was nearly 40 basis points below the national rate. With large increases in federal spending authorized for fiscal years 2018 and 2019, many contractors are gearing up in anticipation of large contract awards, which will continue to fuel the demand for space that is available very quickly with flexible terms and competitive amenities. For example, in conducting our proprietary research, we worked with congressional quarterly to research government contract awards in and around Arlington tower, an office asset with 70,000 square feet of space becoming available in 2019. The data showed that there are nearly 370 contractors that have recently been or are imminently expecting to be awarded a greater than 10% funding increase in fiscal year 2018 and increased year-over-year funding in 2019 for contract work to be performed within ZIP Codes in and around Arlington Tower. In fact, a couple of large contract wins in June were by small contractors that are currently located in 1600 Wilson, our 97% leased asset located a block and a half away from Arlington tower. Anticipating this structural growth trend, we have developed a portfolio-wide flexible space program branded Space Plus that is designed to meet our office tenants' increasing demand for flexibility, speed to market and competitive amenities. The Space Plus program currently has 96,000 square feet and 32 spaces across 12 buildings. The program is already 85% leased with the majority of the remaining space having just been recently delivered. We have achieved rents that are at an 8% to 10% premium to the market. We have another 60,000 square feet across 19 spaces and 15 buildings in the Space Plus pipeline that will deliver over the next 6 to 8 months. This will include 2 floors of space at Arlington Tower that will be available for lease in 2019, with a low-teens premium expected for some of our more premier spaces. While there are currently very few spaces that have been leased twice within the Space Plus program, for the few second-generation leases signed, we have been able to reutilize approximately 90% of the first-generation tenant improvements. The additional tenant improvements on second-generation flexible spaces are a small fraction of the initial TI dollars and an even smaller fraction of the capital spend required for the standard long-term new and renewal leases. For example, we spent $60 a foot on building out our spec suites program at 1600 Wilson, achieved an average term of slightly over four years and have spent in the range of $7 a foot on second-generation tenant improvements for the approximately 25% of the square footage that has been renewed or released. Our Space Plus program differentiates itself from the vast number of co-working and spec suite options currently available in two significant ways. First, it emphasizes corporate identity in a way that is not achievable in co-working spaces. Whether the suite's around a shared common space or it's a completely private office, Space Plus creates design to target successful companies that prioritize their own brand, culture and customer experience. And second, the program offers much of the flexibility seen in co-working but still novel in the spec suite market. Targeting those companies that are coming out of co-working space, Space Plus offers flexible lease terms, high-quality customizable spaces and options on the level of service in recognition of the fact that with office tenants, one size really ever fits all. In addition to the long-term macro demand drivers I have detailed, one factor that has propelled our decision to proactively embark on our own flexible space program is the fact that the DC Metro region's permitting process to build out space has become even more protracted. Without a pre-build program, the fastest a tenant can achieve move-in is now approximately 6 to 8 months, which is less than ideal for existing or prospective tenants with immediate space requirements. Before I move on to retail, I would like to mention the strong demand in our region for office space with views. In the office amenities race, views remain the one amenity that cannot be replicated. You either have views or you don't. The newly renovated Watergate 600 is validating our thesis on the desirability of waterfront assets with views. Following a very positive market reaction to our renovations, we now have 426,000 square feet of active prospects and are trading proposals with nearly half of them, predominantly for the top 3 floors of space that are currently leased to Blank Rome and become available in 2020. We have received interest from law-, energy- and technology-focused users as well as associations and co-working providers. We are also in negotiations with restaurant operators and other service providers for the ground floor amenity space. In retail, we see the trend of multichannel retailers maximizing the productivity of their square footage by using their brick-and-mortar locations for both in-store sales and online fulfillment. They are working toward unifying distribution assets between online and retail, and are beginning to share online and in-store inventory tools. As stores drive faster online delivery times, closing of brick-and-mortar location today also has a negative impact on the online sales in that submarket. To that end, we have retained 100% of our expiring retail square footage and renewed close to a 0.25 million square feet of retail leases in the first half of this year. Nearly all of our retail renewals this quarter have been driven by the tenants exercising early renewal options, a trend that exemplifies the resiliency of retail in the DC Metro region and our proactive approach to tenant retention. With regards to our leasing opportunities in retail, we continue to see strong activity at our new development at Spring Valley Village where we are approximately 50% preleased after signing two strong food service operator brands for the ground floor and are close to a letter of intent for the rest of the new construction. For the 28,000 square foot HHGregg vacancy at Hagerstown, and in an effort to create optimal value for the asset, we have signed an LOI with a quality retailer at higher rents than our previous LOI. The 23,000 square foot of HHGregg vacancy at Frederick continues to receive interest from discounters in the 12,000 to 15,000 square foot range, and we also have single user prospects showing interest in taking the entire space. We are in active negotiations and continue to expect both vacancies to be re-leased this year with leases commencing in 2019. Moving on to multifamily. While supply deliveries remain at elevated levels, the trend of Class B multifamily outpacing Class A in terms of new lease rent growth remains strong. In the second quarter, we achieved new lease trade-outs of approximately 4.2% at our Class B assets versus 2% at our Class A assets. Renewal trade-outs were strong across the board with Class B achieving a 3.8% and Class A achieving a 5.5%. Ending occupancy on a unit basis was broadly flat at 95.2% as we optimized the portfolio's rental income growth potential. Our multifamily submarkets continue to outperform the broader region with submarkets such as South Arlington, which is home to the Wellington and the Trove, our 401-unit development, recording among the lowest vacancy rates in the region. As a result, we have maintained very strong ending occupancy of 97% at the Wellington despite the on-site disruption caused by the Trove development. We anticipate ramping up the unit renovation program at the Wellington and Riverside in the second half of 2018. At quarter end, we had 277 units left to renovate at the Wellington and 371 units left to renovate at Riverside. The Wellington unit renovation program is now 59% complete, while Riverside is 63% complete. We are generating a mid-teens return on cost on the renovation dollars that have been invested at these 2 assets to date and expect these programs to continue to second half of 2019. Finally, we are progressing on schedule with the construction of the Trove. We expect to deliver Phase 1 of this project, which consists of 226 units in the third quarter of 2019. The Trove creates a value Class A offering at the eastern end of Columbia Pike in South Arlington, a submarket with limited Class A deliveries. Units at the Trove will maintain a healthy $300 to $400 gap relative to the renovated B units at the Wellington and are consistent with our strategy to offer multiple price points and value propositions on the same site. We believe multifamily will be the greatest near-term beneficiary of the new jobs that result from the anticipated increase in federal spending in 2018 and 2019 as a tight labor market should help the region achieve its previous domestic and migration highs. While we remain committed to allocating capital to our multifamily portfolio long-term, our stringent investment criteria remain unchanged. We continue to exclusively consider value-add multifamily assets that are under-managed, trading at a discount replacement cost, located in submarkets with a wider-than-average gap between Class A and B rents, which leads to unit renovation potential and that have room to add greater density. Let me conclude with the growth opportunity in DC Metro real estate. According to the research we conducted with Congressional Quarterly, whose business is to track and analyze federal spending, the DC Metro region is expected to receive a $28.2 billion increase in federal spending in fiscal years 2018 and 2019 combined. This is the largest stimulus the region has experienced since sequestration was implemented in 2011. Assuming government agencies award contracts in time, approximately 45% of this increase is likely to be outsourced to government contractors, thereby providing a significant stimulus to private sector growth in our region over the next 2.5 years. The jobs generated as a result of this stimulus will likely result in net immigration, which should provide continued support for office, retail and multifamily. Although, the fiscal year 2018 Omnibus Spending Bill was passed at the -- only at the end of March and federal government contracts could only be awarded from April on this year, contractor heavy north of Virginia has experienced 1.2 million square feet of positive net absorption year-to-date compared to negative 1.2 million square feet in the first half of 2017. We believe there is more to come. Now I'd like to turn the call over to Steve to discuss our financial and operating performance in the second quarter.
Stephen Riffee: Thanks, Paul, and good morning, everyone. Net income attributable to controlling interest was $10.8 million or $0.13 per diluted share, which was higher than the $7.9 million or $0.10 per diluted share reported in the second quarter of 2017, mainly due to the recognition of a gain related to the sale of 2445 M Street. We outperformed our second quarter core FFO expectations by a $0.01 due to better-than-expected same-store multifamily and office revenues and lower-than-expected retail operating expenses. On a year-over-year basis, core FFO per share was flat as same-store NOI growth and the contribution from the acquisitions of Watergate 600 and Arlington Tower offset the sales of Braddock Metro Center, 2445 M Street and Walker House as well as higher year-over-year interest expense. Beginning with key year-over-year variances in the same-store portfolio, office delivered 3.6% GAAP and 4.1% cash year-over-year same-store NOI growth, primarily due to 100 basis points of average occupancy gains driving higher revenues, which offset nearly $330,000 of lower termination fee income compared to the second quarter of 2017. Multifamily delivered 1.8% GAAP and cash year-over-year same-store NOI growth driven by 210 basis points of year-over-year rental growth and 10 basis points of average occupancy gains. And finally, retail same-store NOI was flat on a year-over-year basis as higher revenues, which included approximately $100,000 of termination fee income and the lower provisions for bad debt were offset by an increase in operating expenses which as I mentioned earlier were lower than we originally expected. Moving on to office leasing. With 93.1% of the overall office portfolio occupied at quarter end and only 3% of rentable square feet expiring in the remainder of the year, our focus remains on leasing our 2019 expirations, particularly at Arlington Tower and Watergate 600. We expect leasing volumes to be lumpy as we deliver on these key leasing opportunities. We have a manageable lease expiration schedule for office in 2019 with approximately 464,000 square feet or 12.6% of annualized office rent expiring next year. Of this number, 1/3 or approximately 150,000 rentable square feet expire on December 31, 2019, and therefore essentially, 2020 expirations. Within the remaining 314,000 square feet of office lease expirations, we know of approximately 89,000 square feet of move-outs at this time, nearly half of which will be a part of the flexible spec suites program at Arlington Tower, where we expect to re-lease place during 2019 of healthy rent premiums to market. As we work on our upcoming office re-leasing opportunities, we have grown our pipeline of office leasing prospects by approximately 30% and leases under LOI or lease negotiation have more than tripled on a sequential basis. In retail, our second quarter renewal lease spreads were impacted by the early renewal of 2 large leases totaling approximately 150,000 square feet that exercise their legacy renewal options at broadly flat rental rates. We have 16,000 square feet or less than 1% of our annualized retail rent expiring in the remainder of this year and approximately 95,000 square feet or approximately 6% of annualized retail rent expiring in 2019. All of our retail lease expirations in 2019 are in our neighborhood and community anchored shopping centers with the medium lease size at under 2,500 square feet. We have renewed 100% of our retail lease expirations year-to-date. Now turning to guidance. We are tightening our core FFO guidance range by $0.02 and is now $1.83 to $1.89 from our previous range of $1.82 to $1.90. We maintain the $1.86 midpoint of our guidance range, although, 2445 M Street is contributing approximately $0.02 per diluted share less than our original guidance as we sold it a quarter earlier. We have made three changes to our guidance assumptions. First, we now project multifamily same-store NOI growth to range from 3.25% to 4%, up from 2.5% to 3.5%. And second, we now expect retail same-store NOI growth to range from 0.25% to 1%, down from 1% to 2%. And finally, we expect our non-same-store office NOI to range between $35.5 million to $36.5 million, up from the $34.5 million to $36 million previously expected. Let me now discuss the change multifamily and retail guidance assumptions in greater detail. Starting with multifamily. After delivering 3.6% same-store NOI growth in 2017, we have raised our multifamily same-store NOI growth assumptions twice this year. Our updated 2018 midpoint assumes a second consecutive year of 3.6% multifamily same-store NOI growth. We are encouraged by our ability to grow both rents and occupancy this year as leasing momentum has been stronger than expected. In the second quarter, we experienced 35% more move-ins than we did during the same period last year. Based on our current occupancy, we feel comfortable estimating an acceleration in our new lease rental growth as well as our sequential occupancy in the third quarter. On retail, we have lowered our same-store NOI growth expectations, primarily due to delayed lease-up assumptions as we find that retailers are taking a greater-than-expected amount of time to sign leases, even when they are committed to the business strategy underpinning their desire for that space. For the lease-up of our HHGregg vacancies, however, we've always assumed the protracted lease-up timeframe. And as Paul mentioned, we continue to expect these two vacancies to be re-leased in 2018 with lease commencement in 2019. We have achieved $0.94 of core FFO per diluted share in the first half of 2018 and the midpoint of our core FFO guidance range implies $0.92 for the remainder of the year. The implied second half core FFO deceleration is primarily due to the sale of 2445 M Street late in the second quarter as well as our updated forecast for certain leases that are now expected to commence in 2019 instead of 2018. Moving on to the balance sheet. The sale of 2445 M Street in June has improved our net debt to adjusted EBITDA ratio to 6.1x on an annualized basis and 6.4x on a trailing 12-month basis. We expect to remain within our target range of 6 to 6.5x net debt-to-adjusted EBITDA at year-end. Our balance sheet is unencumbered and healthy with secured debt to gross assets at 3% and a debt service coverage ratio of 3.7x. Let me conclude with core funds available for distribution or core FAD. We delivered $36.3 million of core FAD in the second quarter, representing a payout ratio of 65% and are targeting an approximately 80% core FAD payout ratio for full year 2018. We have grown our core FAD from approximately $70 million at year-end 2014, when our programmatic asset recycling began to approximately $122 million on a trailing 12-month basis to June 30, 2018. One of the biggest drivers of that improvement has been an annual reduction in tenant incentives every year for the past four years. Our second quarter sale of 2445 M Street is yet another capital allocation decision that reduces future capital requirements and supports the long-term returns we aimed to deliver to our shareholders. And with that, I will now turn the call back over to Paul.
Paul McDermott: Thank you, Steve. Following the fiscal year 2018 appropriations at the end of March, the region has experienced an uptick in job growth in the second quarter of 2018 when we added 9,800 jobs compared to the 1,200 jobs added in the second quarter of 2017, which is more than an eightfold increase on a seasonally-adjusted basis. Second quarter 2018 professional and business service jobs were also significantly higher than in the second quarter of 2017, primarily driven by professional, scientific and technical services. As federal government contracts continue to be awarded through the end of the government's fiscal year at the end of September 2018, we expect job growth to further accelerate. Our multifamily portfolio is already capitalizing on this growth and has outperformed our expectations on occupancy and rental growth this quarter. With unemployment in the Metro region hovering below 4%, we believe growth at this stage in the cycle will likely result in net in-migration, which should provide continued support for multifamily, retail and office. Washington REIT remains a secular way to play the DC recovery with a platform that's strategically positioned in segments with the strongest supply demand dynamics within DC real estate. Now I would like to open the call to answer your questions. Operator, please go ahead.
Operator: [Operator Instructions]. Our first question is from Blaine Heck from Wells Fargo.
Blaine Heck: Just want to touch on the multifamily side. First, you guys have had relatively healthy year-over-year rent growth around 2% in the last several quarters, just looking at Page 23 in the supplemental. Given the supply-demand picture you're seeing at this point, how should we think about that growth rate trending in the next year or two?
Stephen Riffee: Blaine, this is Steve. I'll start off. Well obviously, we're not giving guidance for 2019 or '20, but we just raised our guidance for '18 for the second time this year. I think some of you have commented, the center of it is now 3 6, which is where we were the year before. We've looked at supply in terms of where it's coming and we think that the market center going to have the heaviest supply waiver not going to directly compete where we have our assets. And we're also very hopeful that this federal stimulus will bring some net job in-migration and population in-migration to the area, which we're hopeful will help with rental rates.
Paul McDermott: Yes. Blaine, it's Paul. Just to add on that. When we look at where at the supply pipeline right now, what's going to deliver in, let's just say, over the next 12 months, I think the number I'm seeing bantered about is about 13,100 units. 2/3 of those units are going to deliver in the Capitol Hill riverfront southwest market as well as the NoMA H Street market. And I think you are aware that a high percentage of our portfolio is in Northern Virginia. And the other thing I'd say is we continue to see, if I look at this last quarter, we continue to see the B rental growth outpacing the A rental growth. I think it was by about 30 or 40 basis points this quarter. So that's kind of led to what we've reflected in our guidance.
Blaine Heck: Got it. That's helpful. And Paul, you mentioned you guys are in the market, always looking for value-add multifamily opportunities. I guess are there any properties or projects you'd say you're actively pursuing at this point?
Paul McDermott: Yes. We are actively looking at two value-add multifamily in there. Clearly, B assets that we think have the -- a type of affordability gaps post renovation that we would like to see. And they also -- both of them have additional FAR potential.
Blaine Heck: Okay. And Steve, related to that, you guys have done well in keeping leverage down but if there was a significant deal you guys wanted to go after, what's the investment capacity you guys have at this point kind of without becoming uncomfortable with leverage levels? And maybe what would be the preferred source of financing?
Stephen Riffee: Well, we, I think, have stuck to our guns. Timing sometimes happens when buying and selling, but we want to manage our balance sheet leverage between the 6 and the 6.5 debt-to-EBITDA. I think we always say we'll look at all sources of capital. We've got range in our guidance where there could be additional asset sales. For instance, if it were something that we had an immediate opportunity to do.
Operator: [Operator Instructions]. Our next question is from John Guinee from Stifel.
John Guinee: Great. Nice quarter. A couple of questions and a few clarifications. First, you didn't access the ATM this quarter. Any particular reason? Seems like a reasonably good stock price.
Paul McDermott: Well, John, at this point, we started off the quarter a little bit lower and we had a big asset sale to focus on as our primary source of capital which was 2445 M Street. So we didn't think it was the right time to access our equity.
John Guinee: Okay. And then I think I heard you say Blank Rome Space at Watergate 600 for a 2020 availability. Isn't that available right now? Isn't it unoccupied?
Thomas Bakke: All right. John, it's Tom. That's where we had a master lease negotiated with the seller on that for the additional 12 months.
John Guinee: I know. But it's been 12 months, but why doesn't it become available until 2020 if it's vacant now?
Thomas Bakke: It's vacant but it's being leased under the master lease through 2019.
John Guinee: Okay. But if someone want to rent it now, they could, right?
Thomas Bakke: Yes. And we've structured a deal where we would negotiate with the master lessor and a deal to let them off if we were able to find a deal that was mutually beneficial.
John Guinee: Okay. And then on the Space Plus, 96,000 square feet, I think, you mentioned and 32 different spaces. These are basically on average 3,000 square feet, I think, kind of around the corner, not that an elevator bank would be my assumption. Are these just taking some dead space and building them out or is there something more to it? They're tiny little spaces on average, I think.
Thomas Bakke: Yes. I think the traditional specs we've modeled that everyone's been running for many years was exactly that, which is, okay, I got a piece of space in the back, looking at the garage. It's not leasing, so I'm going to build it out and see if the market will take it. And I think that game is pretty much done and if you don't have quality flexible space offerings, you're probably not going to lease some. Especially, John, we know that market's 20% vacant in the suburbs and I'm not too different in parts of the downtown market as well. And that you're going to -- if you got a 3,000 for a piece of space, a tenant rep can show you 50 options. So you better have space that's going to stand out. You better have an offering that allows you to deliver a higher value proposition if you're going to compete. And I think we are now delivering spaces that are high, high quality, great design, shared amenities, good visibility of the elevator bank and the program that we're putting in place at Arlington Tower is probably one of the more innovative concepts that we have come up with to address this flexible space offering.
John Guinee: And then last very quick question. By the way, great answers. Is -- we were talking to a defense contractor in the Baltimore-Washington area the other day, and he told us that roughly 70% of his people are actually housed in DoD space, Department of Defense space and not in their own rented facility. Is that an unusual number? And when the defense contracting business finally grows, do they occupy a third-party space? Or do they occupy the Department of Defense space with their clients?
Thomas Bakke: I'm not sure about the 75% number, but I do think there is plenty of contractors in DoD space. Our research with Congressional Quarterly definitely demonstrated that a lot of the job creation that they are predicting is going to be private sector space. But maybe Steve whose got some experience at a previous life might have some additional color.
Stephen Riffee: Well, just working with -- just to add to that, working with the Congressional Quarterly research team, that may be true. Although, they may be somewhat saturated. But what we're about to see for this research is in and above all the contractors that have been doing work in the budget that's been in place before this new one was passed, we have another $28 billion of spending in '18 and '19 and our research indicates about 45% will be contracted out to third-parties. And they may need to be near some of the DoD key locations, but it's a pretty good indication that they're going to -- there's a bigger space requirement. And I think if I'm -- just to throw it back to you, you've seen activity.
Thomas Bakke: Yes. Well certainly, that's been borne out in the activity we're seeing in Rosslyn and out the Silver Line Corridor.
Operator: [Operator Instructions]. Our next question is from Chris Lucas from Capital One Securities.
Christopher Lucas: Just a couple of quick questions for you. Disposition guidance, I guess, is unchanged. I guess I'm just curious as to what would trigger and if the assets that could potentially make it into this year, are they on the market at this point? And if not, what are the triggers that would put them in the market? Is it an acquisition to offset or is it something else that maybe in play there?
Paul McDermott: There is nothing on the market right now, Chris. Right now -- but what would trigger that would be a potential multifamily value-add acquisition if we were lucky enough to get the award.
Christopher Lucas: And then I guess what's your view on the marketplace. I know when we met just a couple months ago, you were, I guess, frustrated with the pricing and the competitive nature of the acquisition environment. Are you feeling any more confident about your ability given where the stock prices moved to? Or -- what's the dynamic like today?
Paul McDermott: I think our conversation, reflecting back on it, I think the first thing we were talking about was capital and my observations have not changed at all in terms of the amount of capital that is out there. The only people I've really seen pull back are the Koreans and that is really just because their hedge cost were too high. Definitely, a tremendous amount of foreign capital for the core. I think the domestic capital that we see creases a lot more value-add oriented and particularly, a lot of them chasing the multifamily value-add, the model that we like to employ. I think the biggest culprit that we see is -- are the debt funds that you and I talked about. I mean LIBOR went up 100 basis points and spreads on these debt funds tightened 125. You can easily get 75% to that, 75% loan-to-value deals on the multifamily and the same funds will go to 85%, pricing that additional 10% as preferred. So there's no shortage of capital, I'd say, especially for multifamily. I think a little bit of a pullback, backing off on some of these core plus offers we're seeing downtown. I mean, I was just commenting to the team here. Right now, you're going to have 1111 Pennsylvania, 1001 Pennsylvania, 2099 Pennsylvania, 1399 New York, 1333 New Hampshire and 1130 Connecticut all priced in the next 30 to 45 days. So I think you're really going to have some good data points, but the uber core stuff is really the foreign capital, where we're seeing kind of some whole starting to show is in that core plus office. People are just not getting as aggressive with the underwriting or near-term lease expirations.
Christopher Lucas: Okay, great. Appreciate that color. And then I guess last question for me is just thinking about the Space Plus and just kind of curious as to how we should be thinking about how you'll be reporting on how successful that is and also the capital cost associated with that.
Paul McDermott: Well, so far the term we've been achieving has been almost in line -- it's four years in change so it's almost in line with the typical suburban deal and the majority of these deals have been out in Virginia. We're starting to add some more in DC. So they sort of the -- the numbers sort of show up like typical leasing numbers. That being said, I think we're formulating how to communicate both the initial investment and rent achievement, along with the sort of retention and additional capital required and the early returns, I think, we touched on in the script are that -- I'll give you an example. At 1600 Wilson, we built out a floor. Each deal was roughly, let's call it, 3,500 square feet, $60 of work and we still are burning off term on all but two of those. And the two that came up for renewal, we ended up re-leasing those with $7 of additional capital and probably only two months downtime.
Christopher Lucas: Okay, great. And then just, Tom, while I got you. Just on the new leasing front, on just -- it's been light for the last couple of quarters. Is it just a function, as Paul described earlier, that tenants are just of that smaller size are just having a hard time committing to a leased space given the time that it takes to get through the permitting process? Or what's really slowed down your new leasing activity?
Thomas Bakke: Well, I hate to say it, but a big chunk of our vacancy, which are some of our best vacancies, guess where? It's in Quantico and that's 100,000 feet and the majority of our vacancy there. And frankly, there's just not lot of deal activity. That being said, we're hoping that there's going to be some contracts awards down there and they're starting to see some activity. So the other aspect of the leasing volume is, it's a lot of infill leasing and we're working on that to get it over the goal line. On the retail side, I think, again it's a little bit of the bigger boxes are just taking time.
Operator: And if there are no further questions, I'd like to turn the floor back over to management for any closing comments.
Paul McDermott: Thank you. Again, I would like to thank everyone for your time today, and we hope that you enjoy the remainder of your summer. We look forward to seeing many of you on our upcoming nondeal roadshows in the very near future. Good afternoon.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.